Operator: Good morning, and welcome to the SpartanNash Company Third Quarter 2021 Earnings Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. Please note, this event is being recorded. I would now like to turn the conference over to Chris Mandeville, Managing Director of Investor Relations at ICR. Please go ahead.
Chris Mandeville: Good morning, and welcome to the SpartanNash Company third quarter 2021 earnings conference call. On the call today from the company our President and Chief Executive Officer, Tony Sarsam; and Executive Vice President and Chief Financial Officer, Jason Monaco. By now, everyone should have access to the earnings release, which was issued yesterday at approximately 4:30 PM Eastern Time. For a copy of the earnings release, please visit SpartanNash's website at www.spartannash.com/investors. This call is being recorded and a replay will be made available on the company's website for approximately 10 days. Before we begin, the company would like to remind you that today's discussion will include a number of forward-looking statements. If you will refer to SpartanNash's earnings release from yesterday, as well as the company's most recent SEC filings, you will see a discussion of factors that could cause the company's actual results to differ materially from these forward-looking statements. Please remember SpartanNash undertakes no obligation to update or revise these forward-looking statements. The company will also make a number of references to non-GAAP financial measures. The company believes these measures provide investors with useful perspective on the underlying growth trends of the business and it has included in yesterday's earnings release a full reconciliation of non-GAAP financial measures to the most comparable GAAP measures. And it is now my pleasure to turn the call over to Tony.
Tony Sarsam: Thank you, Chris, and good morning, everyone. Before I begin, I'd like to wish our veterans a Happy Veterans Day. It is our privilege to say thank you to all of America's best Veterans including 750 veteran associates who work at SpartanNash. Thank you for keeping this nation the land of the free and the home of the brave. I'd also like to say thank you to all of our associates for their incredible household during Q3. It was a particularly busy summer for SpartanNash and was made more challenging by supply chain and labor issues our industry is facing. Despite this, our team stepped up to take care of our customers and deliver strong results. At the end of the quarter, I was able to personally recognize several dozen frontline associates at our inaugural Circle of Excellence event, leaders from across the company nominated associates who have gone above and beyond the call of duty this year to achieve results. This event sparked a great excitement and passion across the company. I'm looking forward to this new tradition. All right, turning to our third quarter financial performance, I'd like to make a few comments. Overall, we're pleased with our results. We were up against steep prior comparisons, but we managed to grow our topline and meet our profitability objectives. We've had solid performance year-to-date. So we feel confident and once again improving our full year earnings guidance. Looking to our segments, we saw retail topline growth on both a one year and two year basis. Our fresh and pharmacy departments performance was particularly strong. On a two year basis. Our comps improved sequentially from 12.1% to 13.5% in the third quarter. This improvement is a result of in-store execution efforts increased traffic and continued demand for food at home. In addition, we've made a slight net price increases that so far have had minimal impact on consumption. In spite of our investments in wages, we manage our expenses carefully in a tight labor market. Our retail segment labor rate improved by 30 basis points compared to the prior year quarter. In our food and military distribution segments where labor and supply chain pressures are most acute, we're seeing some favorable tailwind. Inflation increases have supported our gross profit improvement and partially offset that difficult headwinds. However, we must do more to mitigate the unprecedented pressures that we and the industry face today. I'll touch on them shortly. But we're already taken several steps during the quarter to address these cost pressures. In addition, we're making upfront investments in our supply chain transformation initiative, which we are confident will position the company for improved profitability, and long term success. Now, back to the industry pressures, the global supply chain is under unprecedented pressure from the pandemic. Current labor conditions and inflationary pressures are straining suppliers. They're already operating in survival mode throughout this pandemic. In addition to the challenges posed by vendors not fulfilling orders, we're also facing increased disruptions from vendors not showing up timely. We've seen the inbound service route vendors declined by over 10% since the start of the year with some top suppliers declined by more than 20%. These types of disruptions are being seen across the entire food distribution industry. As we navigate this new normal we are focused on three core capabilities; people, operational excellence, and insights that drive solutions. Starting with people first, our associate hiring retention rates are still not where we want them to be. We have been primarily focused on improving wages and benefits to attract top talent. I mentioned our Circle of Excellence event earlier, which is one of several programs we're implementing to foster a culture of recognition. We will continue to make investments in competitive wages, essential training and tools that will make us a preferred Employer of Choice over the long term. Also, tying into our people first culture is safety. We are performing well ahead of our internal year-to-date expectations. I like to credit the entire organization for embracing process improvements, which provide us with the foundation to advance our pursuit of operational excellence. Speaking of operational excellence, our supply chain transformation efforts are well underway and we've made notable progress. If you recall, our transformation initiative is broken down into the following five work streams; warehouse operations, sales and operations planning, inventory optimization, network strategy, and procurement where all work streams will be executed in harmony, some recent updates pertaining to our network strategy, warehouse operations, and sales and operations planning. Beginning with our network strategy, we've already taken steps to optimize our operations. During the third quarter we like to disclose to warehouses and transition product to other locations that are equipped to service our customers. We also launched chill operations in our Severn Maryland Distribution Center. This center will be better positioned to provide enhanced customer service by reducing transfer miles previously coming from other shipping points. With these network optimizations, we've made progress on the $15 million to $30 million savings goal we shared previously. It's worth noting that the execution of these programs started a little ahead of our expectations. On the warehouse operations front, we focused on productivity improvements. We are piloting new core processes and tools in one of our distribution centers. The initial pilot results have been encouraging. So we began to deploy these tools and processes to several other warehouses in the network. Additionally, we continue to build capabilities that allow us to improve operational efficiency and better control labor costs, we look forward to incorporating these best practices across our network. As for sales and operations planning, we're currently revising our forecasting process to ensure it aligns operations with customer demand and product availability. We're making progress to improve our supply chain planning and inventory management processes. These efforts will allow us to reduce excess inventory improved warehouse capacity in our network. Turning to our third core capability insights that drives solutions. We're experiencing a very dynamic pricing environment are seeing severe swings and costs for select products. Again, this inflation can be greatly attributed to the current labor market. In spite of this, we're encouraged by what we're seeing in our overall gross margin, the current inflationary backdrop has proven favorable to our distribution business. However, there has been a significant headwind from the Labor standpoint, as noted earlier. We're leveraging our customer and industry insights to negotiate with suppliers so that we can continue to maximize value for the retailers we serve. In our retail segment, we're managing costs quite well. We're striking a nice balance between capitalizing on the resilient food at home consumption trend and continuing to deliver great value to our loyal shoppers. As part of our efforts remain competitively priced in our stores, we continue to lean in on our own brands offering. Shoppers are attracted to our own brands due to product quality, availability and competitive pricing. We are tracking with our year-to-date penetration goal and saw a nice sequential improvements in penetration compared to the second quarter. We remain focused on optimizing our own brands marketing and fostering innovation which we believe will pay dividends down the road. Before I hand it off to Jason, I'd like to provide an update and our plan investor day. As I shared during our second quarter call, we plan to host the event in New York this December. Our goal is to provide investors the opportunity to participate in a more in depth conversation on our strategy, including the supply chain transformation initiative. However, due to the challenges associated with COVID, we made the decision to postpone our investor day until sometime during the first half of 2022. While we're disappointed to postpone the event, we look forward to gathering safely and discussing our progress in person this spring. With that, I'll now turn it over to Jason who will walk you through our financial performance in greater detail and provide you with an update on our full year outlook. Jason?
Jason Monaco: Thanks, Tony, and welcome to everyone joining us on today's call. Let's jump into the detailed results. Net sales for the third quarter increased by 0.6% or $12.4 million to $2.07 billion compared to 2020's third quarter sales of $2.06 billion. Despite the volatile external environment, we have continued to execute well. In fact, this marks the first quarter in 2021, where the total company has exceeded the prior year's pandemic driven sales. The sales growth can be attributed to increases in comparable store sales within the retail segments and continued growth within certain existing food distribution customers as well as inflationary pricing across our portfolio. Our GAAP EPS came in at $0.42 per diluted share in the quarter compared to $0.56 per share in the third quarter of 2020. On an adjusted basis EPS for the quarter of $0.43 compared to EPS of $0.70 cents last year. The decrease in profitability from the prior year was due primarily to lower margins in retail and an increase in supply chain expenses. The tight labor market conditions drove higher wages, additional use of overtime and created additional reliance on costlier third party contractors. Additionally, higher corporate administration costs decreased earnings compared to the prior year. In Our GAAP results, the decrease was offset by cycling a prior year impairment charge within the food distribution segment. Increases in supply chain expenses were partially offset by an improvement in the gross profit rate, where we saw an increase to 15.9% compared to 15.8% in the prior year quarter. Gross profit rate was driven by improvements within the food distribution and military segments as well as a change in our overall mix to more margin accretive retail and food distribution segment sales. Now turning to our segments, retails net sales came in at $608.7 billion for the quarter compared to $596.6 million in the third quarter of 2020, an increase of 2%. Our comparable store sales were up 3.1% in the third quarter while our two year comparable sales were up 13.5% an increase of 140 basis points sequentially from the second quarter. Our strong retail performance can be attributed to our consistent retail execution, along with the continued shift towards food at home, elevated EBT benefits and inflationary price increases. Third quarter reported operating earnings in the retail segment came in at $16.8 million compared to $22.3 million in 2020 third quarter. Despite an increase in same-store sales and fuel sales the operating earnings decrease was driven by lower gross margin rates due to lower fuel margins, cycling favorable prior your inventory shrink, and reduced vendor promotional activity in the current year. Retail adjusted operating earnings were $17.1 million for the quarter, compared to $22.6 million in 2020 third quarter. Net sales in the food distribution business increased by $19.1 million or 1.9% to $1.03 billion in the third quarter driven by continued growth with certain existing food distribution customers and the favorable impact of inflation on pricing. We saw an upward trend and inflation as the quarter progressed, averaging approximately 6% in the quarter. This increase included steep hikes in proteins, while center store grocery product categories increased by about 3%. We still anticipate further increases for the balance of the year. However, as we previously noted, we anticipate that these increases will be passed through and will be accretive overall. Reported operating earnings for food distribution in the third quarter totaled $10 million compared to $9.2 million in the prior year quarter. The increase in reported operating earnings for the segment was due to cycling the prior year’s asset impairment charge related to the abandonment of a trade name as well as increased earnings due to growth in net sales and the gross profit rate. These increases were mostly offset by the higher supply chain expenses in the current year that I discussed earlier. Adjusted operating earnings totaled $10.1 million in the quarter versus the prior year’s third quarter adjusted operating earnings of $15.7 million. Adjusted operating earnings exclude the asset impairment charges and other items detailed in table three of yesterday's release. Military net sales of $433 million in the third quarter decreased by about $19 million compared to prior year sales of $452 million. The decrease was primarily related to a reduction in export sales as a result of cycling the prior year quarter's increase consumer demand along with supply chain challenges at international shipping ports in the current year quarter, in addition to the continuation of lower demand at domestic commissaries. Third quarter reported operating losses in the military segment came in at $4 million, compared to $2.5 million in 2020’s third quarter, reflecting the continued decline in volumes as well as a higher rate of supply chain expenses, partially offset by improvements in gross margin rates. The segment's adjusted operating loss was $4.4 million for the quarter compared to $2.5 million in 2020 third quarter. Overall, our third quarter adjusted EBITDA was $51.5 million compared to $57 million in the prior year quarter. Due to the reduction in our long term debt balance, our leverage ratio improved to 1.7 times compared to two times as at the end of fiscal 2020. In the first three fiscal quarters of 2021, the company generated $144 million of cash from operating activities compared to approximately $224 million over the same period in fiscal 2020. Looking at the third quarter alone, we generated over $70 million of cash from operations this year compared to $26 million last year. The increase in cash from ops during the quarter relates primarily to earnings performance and working capital gains in the third quarter. The strong cash flow performance enabled a net pay down of over $47 million of long term debt during the third quarter. The continued pay down of debt balances also resulted in favorable interest expense compared to last year's third quarter. During the quarter, the company also declared $7.3 million of cash dividends equal to $0.20 per common share. As covered in yesterday afternoon's press release, we are raising the low end of our 2021 EBITDA guidance range. Adjusted EBITDA is now expected to range from $205 million to $210 million. Adjusted EPS remains in the same range of $1.70 to $1.80 per diluted share as incremental LIFO expense related to rising inflation widens the gap between EBITDA and EPS growth. This update to our EBITDA profitability range recognizes the strong performance trends in the retail segment and gross margin expansions were realizing in the food distribution and military segments but it's tempered by economic headwinds. These headwinds include the continued impact of the availability and cost of labor we have felt most sharply in our supply chain. We are reaffirming our full year 2021 guidance as it relates to consolidated net sales. However, with the continuation of positive results in the retail segment, we now expect that retail full year comparable sales will only be negative 1% to 2%, which is an improvement from our previous expectations. And now I'd like to turn the call back over to Tony.
Tony Sarsam: Thank you, Jason. In summary, we're very pleased with our third quarter and year-to-date financial performance. Our industry continues to fight against tremendous challenges with labor supplier fill rates, wage expansion and inflation. Unfortunately, we don't expect these pressures to ease up anytime soon. We're determined to be proactive by focusing on our people first culture and our supply chain transformation initiative. As we exit the year, we believe will be very well positioned to improve operational excellence, which should provide us with multiyear benefits in earnings and customer growth. With that, I'd like to turn the call back over to the operator and open it up for your questions.
Operator: Thank you. We will now begin the question and answer session. [Operator Instructions] Our first question comes from Charles Cerankosky from Northcoast Research. Please go ahead.
Charles Cerankosky: Good morning, everyone. Tony and Jason, can you talk a little bit about maybe more than a little bit about the labor challenge going into next year how you see it evolving? Maybe even resolving to some degree and what your logistics operations might do to offset it either operationally or maybe things the industry as a whole is doing?
Tony Sarsam: Chuck. You said talk for a little bit, I could talk for hours perhaps on that topic. There’s a lot going on in labor. So for the headlines here, it’s been an enormously difficult labor environment with the number of people who come out of the labor workforce, the people who are churning at the front end and just the overall tightness and supply of labor. We have like a lot of folks, we’ve taken a price or cost increases on our frontline labor. Our entry level jobs, as you may recall from the spring and retail in the summer in our in warehouse operations are up over 10% probably closer to 12 or so. And we’re taking another some other increases on frontline labor here in this fall. So pretty dramatic cost increases, we are seeing better applicant flow, but we have not come anywhere close to closing the gap. So we still have very significant openings across the network, like a lot of our peers are articulating as well. So a few shards of sunshine there in terms of the applicant flow, but it’s been slow and while we see improvement every day, so it’s still a difficult battle. At the same time we’re taking those increases in pay. Obviously our competition for labor is doing the same thing. So we see the escalating pay, I think will go on at least into the first part of 2022. We see that for our business. The other thing about horizon, we are all dealing with trying to understand this ETS mandate and what it might do to the labor force. So far we don’t see any way that’s going to help. We think there are significant chances and they make things worse in the short going. We are hopeful that we’ll find that as an industry and as a society we’ll find a way to actually mitigate some of those potential risks that are on the horizon for that but that stands as sort of as an immediate difficulty, potentially on laborers who look forward. And then your question on logistics, we have a like other parts of our business where we’re working hard to attract the right talent there, we are investing in wages, we are investing across our organization also in benefits, we’re investing in programs and training and engagement activities that we think will make people feel like they found a home when they come to SpartanNash. All those things are going to be critically important to win the war for talent. The there are some other technical things we’re doing around looking at, we do more work with dropping trailers and conserving the use of tractors and drivers, while we’re moving things across the country. There’s a lot of activity in that space. But the big headline is just getting the right folks and getting them into the cabin, and again, getting stability and in the logistics part of our business.
Charles Cerankosky: Will the mechanism of cost foot with higher grocery prices do anything to significantly offset the higher labor costs?
Tony Sarsam: Yes. so we’ve got obviously in the totality of what we do, we’ve got, we have this, we have the one pretty significant headwind with labor costs, the mitigating factors against that are going to be a combination of productivity and pricing.
Operator: Our next question comes from Scott Mushkin from R5 Capital. Please go ahead. 
Scott Mushkin: Hi guys, thanks for taking my questions. So I just actually wanted to follow on to something that was said, Tony, you said it’s improving every day. But at the same time, you seemed really cautious. I’m just trying to make sure that to clarify that statement I think you’d be one of the first people to kind of say that and I just wanted to make sure I understood it correctly.
Tony Sarsam: First person say it’s improving every day.
Scott Mushkin: Yes. There is the labor and the labor delivery and everything. I think you seem to say, well, that’s what I began to get clarity on. You seem to say things were improving every day. And I just wanted to make sure I understood that correctly.
Tony Sarsam: Yes. Thank you for the clarification of that. I want to make sure that I don’t sound like Pollyanna here. The writing improving every day is something like this. We had 4,000 openings yesterday, and today we have 3,994. That’s not coming, so it’s very slow, and too slow. So we had when we took the participants a pretty significant pay increase in some of these we got jobs filled. But I would say it’s been extraordinarily slow. 
Scott Mushkin: I really appreciate that clarification. So the other thing I want to push at and I think you addressed the vaccine mandate coming January 4. Are you guys requiring that right now? Or is that something you’re waiting to see?
Tony Sarsam: Are we’re requiring all employees to be vaccinated?
Scott Mushkin: Correct? 
Tony Sarsam: No.
Scott Mushkin: And then if you would talk about that, I think you were the 20% you say kind of inbound, any stabilization there? I mean, I know talking to CPG companies because we cover them. Some are a little bit more optimistic, some are a little more pessimistic and how are you thinking about holiday? And we are hearing some hints that there could actually be outright shortages. What’s your view on that?
Tony Sarsam: So as far as for the vendor community, the collective vendor community has not been particularly optimistic. So as an example, if you look back a year ago, we had significant outages and we asked our vendor community what do you see happening, they would have said and did collectively that, hey what, six months or so we see that we see us on a pretty steep path back to normal, and it’ll be back to normal sometime in 2021. And come close to being the reality. And we asked that same question today. And we’re getting more of is, we’re not sure, we don’t really see this thing popping back anytime in the next six to nine months. So that’s not everybody. Some people are saying they are more optimistic, but I think the collective is, I would say is neutral or benign that best and probably a little bit pessimistic. As far as the holidays go, there are going to be some items that have pressure on them and a number of items. So we’ll have as you might imagine, in this world where there’s a lot of shortages, there’s going to be unique holiday related shortages right ahead of us. So we’re working every day to try to make sure we stock up on the things that might be at risk. And I think I was doing the same thing. The broad question is, will there be some shortages? Yes there will definitely be some shortages for the holiday items.
Scott Mushkin: And what’s your fill rate right now to your customers on the distribution side?
Tony Sarsam: Well, what we look at is that the gap between what our manufacturing community sends us and then what we ultimately send out and we’re closing that gap every day so that we’re getting close to what it was a couple years ago. The problem of course, is that it’s not particularly satisfying to say that we hey, we’re sending you most of what we get because the numbers are so low we’re getting a fill rates that are down 70%-ish. And even our best performance against that still leaves people with gaps versus what they want for their shoppers.
Scott Mushkin: Perfect, I’ll yield. Take care, guys. Nice job through such a tough environment and I’ll yield. Thank you very much.
Operator: The next question comes from Kelly Bania with BMO Capital. Please go ahead. 
Kelly Bania: Hi, good morning. Thanks for taking our questions. Wondering if we could just talk a little bit more about the net impact from the higher wages and the supply chain challenges compared to the tailwind of inflation that sounds like you’re passing through pretty well. I think it was characterized as a creative, but just as we think about these two kind of factors here, would you characterize this as a net tailwind or a net headwind?
Tony Sarsam: Yes. It’s a great question, very timely one for dialogues where we have all the time with other stakeholders. So it is a net headwind. And what is sort of the nuance in this is that, historically, when there’s inflation in this industry, the inflation comes from a number of different possible price shocks. And those shocks are not borne by everybody, a simple example, if there’s a problem with a cocoa crop in Cote d’Ivoire, then there’s inflation on chocolate and that chocolate inflation gets passed on, but I’m not actually dealing with the farmers in Africa. So in this case, the inflation is being driven exclusively by labor, either the combination of high labor costs or shortages caused by the lack of labor. And so we bear those same exact inflationary burdens as our suppliers might. So while they’re passing inflation out of us, we also have our own inflation as we’re trying to offset that. The net of those two things is negative for our business.
Kelly Bania: And also just wanted to ask about retail, clearly the performance a little stronger there. Can you just help us unpack as you look at the margins in the retail business versus 2019, just the drivers of how that’s settling out this year relative to 2019, and really the sustainability of that margin expansion? And within that, do you at all, consider, reinvesting some of that margin, to kind of help ensure that you keep that customer base that you’ve gained over the last year to two in a scenario where maybe the consumer does become a little bit more value oriented.
Jason Monaco: Good morning, Kelly. This is Jason, and thanks for the question. So thinking about the retail segment our gross margins in the segment are up about 65 basis points from 2019. So you’re dead on that we’re seeing margin accretion in this space. As we think about the business. There is obviously a lot of noise with COVID. But I wouldn’t want to overlook the execution improvements that this team has made and our retail organization is made over the last couple of years to put us in a great position to make margin enhancements and sales growth more sustainable than you might have seen in the past. As we think about the margin structure of the business and how we deploy that we obviously want to make sure we’re turning the flywheel of growth and continued margin enhancement over time. So we’ll always be looking at opportunities to invest in that business and ensure that we’re leveraging it for long term sustained growth.
Kelly Bania: And then with the discussion of the distribution business, there’s a comment about certain customers growing. Can you just help us understand a little deeper level how some large customers are kind of filtering in and out versus how your core kind of independent grocery customer is performing within that distribution growth?
Jason Monaco: Yes, absolutely. So maybe starting to decouple this little bit. Within the food distribution business, our core independents are growing approximately at the same rate maybe slightly slower than our retail business. So that kind of two year stacks that’s low double digits. So when you look at that piece of the business, it’s running similarly. As we also have some other national account customers within the food distribution segment. And that’s what we’re referring to when we say certain other specific food distribution customers. But one in particular that I’ll call out is Dollar General, we’ve had a great partnership with, Dollar General has in-sourced a portion of their fresh business a significant portion in a subset of their stores that’s been winding down over the last 12 months or so. It’s really I would characterize it as hitting, kind of the hitting the bottom at this point and we continue to service a number of their stores and have a significant piece of business and partner really well with them. But there’s been some noise on that front with their in-sourcing of a portion of their business. And then obviously, we’ve got our Amazon business and a couple of other national account activities within this group that contributes to the growth profile.
Operator: The next question comes from Greg Badishkanian from Wolfe Research. Please go ahead. 
Unidentified Analyst: Good morning. This is Spencer Hanus on for Greg. Can you talk a little bit more about your fill rate and how those compare with your peers? And then I think you mentioned that it could be another six to nine months before we really started to see the supply chain get better? What do you think are the factors that lead to that getting pushed out even further than that or potentially being pulled forward? And is there more sort of downside than upside to that sort of line I guess?
Tony Sarsam: So I don’t have perfect visibility to what my peers are getting at fill rate, but we do have, we are in some industry groups where we talk about this in broad strokes. And I would say that our numbers sound like the numbers that other folks are experiencing broadly. There is different ways of measuring as you can imagine. We’re taking a tougher measure against that in terms of what do we believe the market wants and what they can get a hold of there. Other folks are looking at it as percentages of what’s being offered by the manufacturers a lot of cases they cut items or stock or discontinued but hold on some items, put caps. So a lot of ways to cut and slice and dice it but our numbers stack up similarly to what the broader industry is saying they’re seeing. As far as what things might impact the turnaround with, everybody has been quite consistent. It’s just all about health. It’s all about can I get people into our factories to work, can I get consistency of supply of those folks. We have a supplier for a number of our own brands for example, who’s gotten a modified manufacturing scheduling has cut back their supply to us even a little bit more because they’re shutting down now an additional shift a week just for lack of folks in their manufacturing plants. That sounds pretty common to me. We’re hearing that from different a lot of folks. So they won’t get back in good shape until they get in good shape on their staffing. And like I said it’s about that simple. The pace of improvement right now it’s just that’s going to be longer. I think that’s the reason why people are saying that they don’t want to over commit to hey, we’re going to be back in good shape in six months. Remember for those folks if I’m buying something like these candy bars last example, they may get back in good shape. But guess what the guy who’s doing the roasting of their peanut somewhere isn’t in good shape. Yes, we had this long tail supply chain issues that while once some of the things are in good shape on labor, they don’t know for sure that all their ingredient suppliers are all going to be in good shape. So I think people are very nervous about that because they’re seeing not just their own struggles, but they are seeing the inbound ingredients and other even second and tertiary items they need to run their business are tough to get. So I think people are being very cautious about saying hey we’ll be moving in good shape by June or by September something because it’s just, it’s been more difficult than anybody anticipated coming into this year.
Unidentified Analyst: And then if I could just turn to retail margins for a second. You mentioned 65 basis points up versus 2019. How much of that is driven by changes in your promo strategy or pricing versus some more transient benefits from better sell through? Could you just help us unpack that change in gross margins a bit?
Jason Monaco: Yes, great question. The way I characterize it is, there’s a little bit of all the above. In the last two years, so if you kind of look at a two year cycle, a lot has changed and a lot has occurred, particularly with COVID sitting in the middle of it. We have had changes to our promotional strategy and our pricing at various times over the last two years. And we’ve seen improvements as a result of those strategic changes, both the way that we priced, the way that we promote and way that we go to market. And importantly, the execution and product portfolio that we’re pursuing is also enabling a richer mix of revenue and margin along the way.
Unidentified Analyst: Got it. And then my last one was just sort of on Dollar General, I think you mentioned that they’re in sourcing part of their fresh business. Do you think that spreads to other categories? And if so how does that sort of impact your distribution capacity to maybe absorb some incremental sales from other large customers that you have that are definitely growing in the business?
Tony Sarsam: Yes. I characterize it more as a trailing issue. So this is something that that’s been in the market for some time. And it’s been public with that customer. And so for us, we’ve reached the end of the tail on that process. And any capacity that would have been opened up is already opened in our network.
Operator: [Operator Instructions] Our next question comes from Krisztina Katai from Deutsche Bank. Please go ahead. 
Krisztina Katai: I guess, I just wanted to follow up one more time on the labor situation. Just wanted to get your thoughts on how you think you’re positioned right now relative to your current markets and how you think about the size of any potential labor investments that you could potentially make here as we have been seeing a lot of headlines for retailers moving their starting wages higher. And in addition to the rate pay that you give employees hourly, are there any other considerations to ensure that you stay competitive as it seems like workers are looking for more than just a job, looking for more than just pay in a job?
Tony Sarsam: Yes. That’s great question. So as far as how we’re positioned, we pay very close attention to that and to make sure that we are competitive in the outward facing part of the offering our pay face and probably offers typically a base pay. So it’s, we say that that’s sort of the window, what we believe is that that’s a big, that’s a big important consideration, that kind of opening day for somebody when they want to do work when they want to apply for a job. So why don’t get people into the window, we don’t believe you have to be the highest pay or to get things to get the best talent, but you have to be in some range of acceptability for what people can achieve. So hence, the reason why there’s been escalation because obviously the industry collectively doesn’t believe that they’re in that place yet. So that’s the reason why the base wages go up. We believe that base wages next year will go up at least more than historically given an average year. So not sure what that number will be right now. But we’re planning on higher and planning on productivity offsets. They will help us to fund those investments. On the balance of the job, you’re precisely correct to the story only begins with base wages. And then it goes to one of the working conditions, is this the kind of work I enjoyed, do I have a respectful and productive relationship with the company and with the supervisors in this new business that I’ve joined. All those things we think are really important. We’re working very hard on as I mentioned in the opening here today is that this idea of People First we think that’s our absolute first focus, our first filter, what we do as a business is ensuring that we get the right talent. And getting the right talent means getting them in the door means that means train them well means of providing their engagement tools that allow them to feel great about their sense of purpose at work, and providing for recognition and training for supervisors. So they can do a good job and can create that environment where their people can do their best work. That’s it. There’s a lot going on in that space here now and I believe that we are well positioned to get the best talent in the industry and to win the war for talent because we’re combining all those events and not just trying to solve it by throwing money at people.
Operator: Our next question is a follow up from Charles Cerankosky from Northcoast Research. Please go ahead. 
Charles Cerankosky: Tony, you mentioned giving people the tools that goes beyond wages and benefits. Can you give us some examples? I imagine some of this is better technology, but things that allow your new employees and veteran employees to remain engaged and be more productive, especially in the light of higher overall employment costs.
Tony Sarsam: Yes, I think it’s a great question, Chuck. So I think the headline is around training and around communication or visibility. So as an example, we have a task to do everywhere in our company. So the task in the warehouse is actually ship a certain amount of goods in a shift. And that’s what matters, that shift supervisor into the team of employees that, that he or she is supervising and so some of the steps that we’re taking is one is working with folks on technique that allows them to be more efficient and more effective in their work. And importantly, providing real visibility, real time visibility about what’s going on and that shift and keeping you up to date on, did we have a good hour, what are we doing next hour to actually hit our goals as a team. And I think the company was a little behind in my opinion on that. So the combination of training and visibility that allows people to stay engaged and do their best work is a big, big part of what we’re doing where we have rigorous communication with our entire team of associates on how we’re performing, obviously, I just mentioned that the hours and the shifts we do we have weekly numbers and period numbers and quarterly numbers that we share, we share them live and we share them in a number of other tools. And that sort of that collective sense of here’s the chart we have ahead of us, let’s make sure we’re trained and ready to do that. And all focus on the same types of things that are going to make us successful. There’s big payoff in that if a company can do that and we’re working really hard on that right now. 
Operator: Our next question is a follow up from Scott Mushkin from R5 Capital. Please go ahead. 
Scott Mushkin: Hey, guys, maybe I missed this, but I didn’t want to, did anyone talk about the customer and what’s going on in the retail segment? I know there’s been some noise about trading down because of the inflation, although Ahold said overnight yesterday, that they’re really not seeing anything that appears some people are trading down. Some people are trading up. So net it’s kind of fine. And I just wanted to go see if you guys had a view on that. I don’t know if I missed it. But I just want to see a few you had a view there. 
Jason Monaco: Yes Scott this is Jason, great question. Thus far, the consumer and the strength of the consumer has been relatively robust. And we haven’t seen significant trade down to-date. That said it’s something that we’re keeping an eye on and we’re watching out for it. Because if you think about inflation, and how inflation passes through you all know that there’s a PPI and a CPI story here, and particularly as a wholesaler, and with many of our customers running through the warehouse operation, there is a time lag that happens from an inflation standpoint. So I would expect that the inflation at a wholesale is starting to roll through retail. And that’s something we’re keeping a close eye on determinant trade down occurs. But today, we haven’t seen anything significant.
Scott Mushkin: And then as a second thought, thank you, as a second follow up we are hearing more and more about wanting to automate much more quickly in those distribution centers. And Amazon talked about, lot of other people have talked about, not just Amazon hold, how are you guys positioned through an automation perspective, and this is something you’re looking to in 22 to increase investments there? I mean, maybe we’ll hear more about that in the investor day, but it’s something maybe we will look now.
Tony Sarsam: Yes. That’s something we would probably talk a little more in the investor day. Just quickly it’s, I think the automation and the pursuit of tools and technologies that allow us to do work in a more, again in a more efficient and effective way are foregone, if people are going to have to do that to survive. And the advent of the higher wages are going to make some of those technologies more affordable. A lot of and you probably have seen this where there’s a warehouse automation package that somebody will put in your plant, and you look at that and say, guys, I’m doing the math here, it just doesn’t work. I’m going to spend say a loss of $50 million a year to save 30. Well, those numbers are getting are different now. And I think there will be a lot more focus on that. So our first focus is going to be on sort of process tools. So things like technologies and IT tools that will allow us to be more effective than we might have been in the past. And those are more readily accessible than some of the items like automated cranes and robotic. As you also probably know, there’s a pretty big backlog on technologies on that kind of hard technology as well. So we’re looking at what we can do and where it makes sense. The practical reality is that there’s not a 2022 deployment of that just because of leakage, just kind of gradual lead times. So our first focus is going to be more on again on process and IT tools that will have the impact of automating some of our processes.
Operator: There are no more questions in the queue. This concludes our question and answer session. I’d like to turn the conference back over to Tony Sarsam for any closing remarks. 
Tony Sarsam: Sure, thank you. And thank you all for your participation. A lot of great questions. We really appreciate your work and your thinking through those. We look forward to updating you all on the timing of our planned investor day, that’ll be coming sometime in the coming months and we’ll speak to you again when we put our fourth quarter 2021 results in February. You all have a great day. 
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.